Operator: Ladies and gentlemen, thank you for your standing by and welcome to the America Movil Conference Call. At this time, all lines are in a listen-only mode. Later there will be a question-and-answer session and instructions will be given at that time. If you do need assistance during the call today, please press the "*" followed by the "0" and an operator will help you offline. As a reminder, today's conference call is being recorded. At this time, I'd like to turn the conference over to Vera Rossi. Please go ahead.
Vera Rossi, Morgan Stanley: Thank you. Good morning for those of you in the U.S. and Latin America, and good afternoon for all of you in Europe. This is Vera Rossi and on behalf of Morgan Stanley we are pleased to be hosting America Movil's Fourth Quarter '05 Conference Call. Speaking today will be Daniel Hajj, Chief Executive Officer of America Movil, Carlos Garcia Moreno, Chief Financial Officer, and also with us Paulina Amieva, Head of Investor Relations. I will turn the speaker over to Daniel Hajj. Thank you, Daniel.
Daniel Hajj Aboumrad, Chief Executive Officer: Thank you, Vera. Good morning, everybody. Thank you for holding this conference and Carlos Garcia Moreno is going to make a small summary of what we have in the fourth quarter results.
Carlos José García Moreno Elizondo, Chief Financial Officer: Thank you, Vera. Good morning, everyone. First I'd like to thank Morgan Stanley for hosting this conference call today. As some of you have already seen in the notes that we had a very strong fourth quarter. We had net additions in the quarter of 9.7 million, which was a record for America Movil in terms of organic net gain. These net additions were well above the consensus. It was 1 million, exactly above the consensus number, and that means that we ended the year with a total of 32.2 million net additions. Again, this was a record. The previous record, which has been in 2004, had been a total of 17.2 million net additions. So the numbers here was mostly organic, of the 32.2 million net additions in 2005, roughly 29 million were organic. One thing that is important to note is the net additions in the fourth quarter were substantially higher than what we had in the same period of 2004. At that time, we have had 7.4 million net additions. So, again, fourth quarter net additions 9.7 in 2005, 7.4 in 2004. As regards revenues, we had a total of 52.4 billion pesos in the fourth quarter. This implies an increase quarter-over-quarter of 13.4% and year-over-year of 27.6%. This number again, the fourth quarter EBITDA number was also higher than the highest estimate that we were seeing among the analysts that are following the company, and it helped us reach a total of 182 billion pesos for the year, which meant an increase over the previous year of nearly 31%. One thing that is important to highlight is that, in most operations we saw sequential increases in our prepaid ARPUs in the fourth quarter relative to the third quarter, and this is important because it was probably something that was not seen before, given the strong seasonality for the fourth quarter when we are increasing significantly the number of new subscribers, and that typically tends to reduce initially the number for the ARPUs. So the fact that we were able to show increases in prepaid ARPU sequentially in a quarter that is strong as the fourth quarter from the point of seasonality, means that it's probably something that we will continue to see in the future. Regarding the EBITDA number, we had 15.2 billion pesos in EBITDA in the fourth quarter of '05. This was an increase year-over-year of 45.6%. I think that it is important to note that the EBITDA margin in the fourth quarter was 29%, and was well above the one that we have seen a year before in the fourth quarter of '04; we had got 25.5%. So one more thing that is important to think that is, practically all of the operations with one transaction had increases in their EBITDA margin in the fourth quarter relative to what they had one year before. The EBITDA number by the way, was 7.5% higher than the consensus. One thing that is interesting yet to note is that the results that America Movil generated implied both more subscribers and more EBITDA than the market was expecting. One thing, again, that is also important is that, EBITDA margins have been going up although subscriber growth has continued to be very strong in absolute terms, in relative terms it has come down, of necessity, and that is something that is helping drive the EBITDA margins up when we expect to get growth of the operations. Other than this result from operations, I would like to focus on a couple of additional points. One of them is the reorganization that we effected in the fourth quarter, this reorganization that effectively consisted in a rearrangement of the corporate shareholding that we had in America Movil. The initial structure that we had was something that was very much inherited from those days of Telmex and eventually we grew the structure as things came along, we started acquiring all of analyst companies in a number of spaces, and in the end we didn't have very efficient shareholding structure. So we moved to another one that has a number of benefits for the company. As I said before, it was intended to give us more flexibility, to give us better control, in being more flexible it has resulted in our having a better control and a better geographical oversight of administration and accounting of the various entities that are now controlled by America Movil. And one consequence of the arrangement of this shareholding is that we ended up cutting from deductible losses and that thus led to a reversal of some of the tax portion of the tax provisions that had already been set up during the year. So that's something that was also an important transaction in the, an important operation in the fourth quarter. The second thing that I wanted to highlight was the overall use of this capital in the year 2005, we ended up using for CapEx and for acquisitions a total of 50 billion pesos. 50 billion pesos was the use of resources for CapEx and acquisitions. In addition to this, we gave back to the market, by way of buybacks and dividends, 19 billion pesos. So that means that the total use of resources, both for growing our base, acquiring new entities and essentially giving back to our shareholders was a total of nearly 70 billion pesos. This figure that compares with the total net debt that America Movil had at the beginning of last year, which was 43 billion pesos. That is to say, what we used of resources was roughly 60% more than the total net debt that America Movil had at the beginning of the year. And I wanted to highlight this, because I think it is important to note that the financial strength that America Movil has and it gives us a lot of flexibility, and it has already resulted in benefits for our shareholders. So I think those were the things that we would like to highlight today, and I would like to pass it back to Vera and maybe we can start the questions and answers right now, Vera. Thank you.
Q - Vera Rossi, Morgan Stanley: Thank you, Carlos, I am going to ask the first question, and then I will open the Q&A for the audience. First, in terms of uses of cash in the next three years AMX is likely to generate approximately $10 to $11 billion in free cash flow according to estimates. Where do you expect to use this cash? Do you expect to make more acquisitions in Latin America, or are you considering any acquisition outside the regions or in terms of accelerate or buyback or paying higher dividends? What is your agenda for the next two to three years for the company?
A - Daniel Hajj Aboumrad: Well, Vera, I think our strategy still maintains to stay in Latin America. We are not thinking to get out of Latin America. I still think that there's going to be more consolidation in Latin America in the next three years, we're going to see. We still are not in some countries and we have some opportunities to grow there. And the other thing that we're still doing and we can increase that is the dividend and share buyback. So those are the two main things and the strategy of America Movil today. We are not thinking to go out of our region. We are maintaining in our region and the rest will be in share buybacks and dividends. It is very important to focus, Vera, that in the region I think penetration is growing, but still we think we're going to grow in the next three years. So we're going to see a lot growth on this region, so it doesn't make sense for us to go out to other regions if we are in the region that is growing a lot. I think this region is one of the highest growth regions in the world. So we are going to focus in the next three years maintaining the focus in Latin America.
Q - Vera Rossi: Okay; and I have a question, also, about Brazil and Tracfone in the U.S. In terms of Brazil, what will be the level of net additions and EBITDA margins you expect for 2006, and if you can talk about the forgiveness of certain balances associated with the accounts receivable, if this is related to the billing issues you had in the past in the country?
A - Daniel Hajj Aboumrad: Well, this has to be related with the billing issues that we, some of them had to be related with the billing issues that we had in 2004. So, what the company decides is that, those customers that we have, they pay very well, we have a good year with them and we decide to cancel this all the balances that we have with them. We prefer to maintain the customers for the future than to charge something that we do a mistake in 2004. We have those billing problems. So that's the rest, that's the final thing that we have of that consolidation. I think, Brazil in 2006 is well positioned to grow the margins, and as you see, we are growing market share in the year. Maybe the last quarter or the last month, we decreased a little bit, but overall the year we grew our market share, and I think in 2006 we are also prepared to grow our margins. The forecast that we got is around 4 million customers, the net additions for Brazil, and that's something that we need to check month by month, depending on the economy on Brazil, depending on the competition in Brazil and we need to check that now? Sort of, in Brazil it's starting, you're starting to see some, a lot of companies starting to sell SIM cards alone, and we want to be very cautious there, because we want to have very good subscribers. So our marketshare has to be in subscribers, but also has to be on revenue. So we want to be very careful in 2006 with that, Vera.
Q - Vera Rossi: And do you expect your margins to be positive in 2006?
A - Daniel Hajj Aboumrad: Yes, I think my margins, we are forecasting a 10% EBITDA margin for 2006, is what we expect to have, we need to do a lot of things. It depends a lot on the market situation. It depends a lot, also, on the economic, as I told you on the economic side of Brazil, but I think our forecast would be around 10% of margin. It also depends on the growth of Brazil. So we still think that growth is very important for America Movil in the next year. So we are focusing on growth, also, in Brazil, now? But we are ready to increase our margins.
Q - Vera Rossi: I see. And my last question is on Tracfone. We saw a new level of net additions in the fourth quarter '05, around 1 million subscribers. What we should expect for 2006 in terms of net additions and also where do you see the EBITDA margins of Tracfone in the medium to longer term with a more normalized growth, do you see your margins in the high teens, low 20s similar to Virgin in UK? Thank you.
A - Daniel Hajj Aboumrad: Vera, we need to understand that prepaid in U.S. is just starting to grow. We have a fourth quarter, very strong fourth quarter, but remember that in the fourth quarter we have Christmas and Thanksgiving, the two important dates there, and in those dates you sell a lot of prepaid. You could check, also, years before and we could have the same seasonality in Tracfone. So still we're going to see more competition on prepaids as I think some companies are understanding that prepaid is important in U.S. and it's the way to grow. So you are going to see more MVNOs and maybe some carriers focusing a little bit more on the prepaid. But we're very comfortable that we have a strong base that we already do for a lot of years, maybe five years. We have a good basis on Tracfone, and I think that next year will be around another 1.4, 1.5 million customers for Tracfone. So that's something that we're expecting for next year.
Q - Vera Rossi: I see. And….
A - Daniel Hajj Aboumrad: And the margins, you were talking, I think we could have the same margins as Virgin, depending on the growth, but the company today, Vera, is cash positive, so we have this year 8% EBITDA positive, and I think depending on next year, we could have between 10% to 15%EBITDA and that depends a lot on the growth, Vera. This company, if we're going to grow still, we grow in subscribers 40% this year, so it's a huge growth, no?
Q - Vera Rossi: Yes. It is a huge growth. Okay. Thank you very much for the answers and, Kent, you can go ahead and now open the Q & A now. Thank you.
Operator: Okay, great. Thank you very much. Ladies and gentlemen, if you do wish to ask a question, please press the "*" followed by the one on your touchtone phone. You will hear a tone indicating that you are placed in queue, and you may remove yourself from queue by pressing the "#" key. If you are using a speakerphone, you may need to pickup your handset before pressing the "*" and then "1". So again, if you do have a question, please press "*" then "1" at this time. Our first question comes form the line of Talus Gomez (phonetic) with CSFB. Please go ahead.
Q - Talus Gomez: Good morning, gentlemen. Two questions. First, we've seen in Mexico that competition has become more aggressive in the, in the promotions during the last month. So my question is, what are you expecting in terms of competition from Mexico in 2006? And the second question is, there have been some rumors in the press that CPP for long distance should be ready in February. Anything you can share on this, and if so, what should we expect in impact on MOU?
A - Daniel Hajj Aboumrad: Well, on the CPP on Mexico, they are saying, they are always saying that it's ready for the next two months. We are not clear when it's going to be ready that they are not, Telcel is not clear when those CPP is going to be ready. I don't think that the authority is going to put CPP and then I think the way they are going to do it is we're going to sit down and discuss that, and when we already agree all the companies agree on that, then they are going to give some time to implement the calling party pays. So I don't think that in February everything is going, it's impossible to do it that way. Nobody is already to implement long distance CPP. So I don't think we're going to have CPP in the next month. I think CPP, depending on the rates that you discuss, it's good for the cellular companies. So I'm not worried; I'm happy if we have CPP long distance, and if they don't implement, I'm still happy in Mexico. So it's not something that I'm pushing, but if it's coming, it's good for us under the right rates, under the right rules, okay. So that's something that we have to be very careful. It's not only long distance CPP; it has to be also international long distance CPP, because if not there could be some issues of faults or something like that. So we need to study that very well. Competition in Mexico, well, as you see, it's strong. We have four competitors. We have Iusatel. We have Unefon. We have Telefonica. We have also Nextel. So competition is strong in Mexico, and we're happy that we're doing things, taking good decisions and doing the correct things to grow Telcel. So Telcel is doing very good, but I see competition also very strong for 2006.
Operator: Thank you. And we have a question from the line of Inge Heydorn with Deutsche Bank. Please go ahead.
Q - Inge Heydorn: Yes. Can you hear me?
Operator: Yes, sir. Your line is open.
Q - Inge Heydorn: Okay. Thank you very much. No, two questions. First, what was the absolute CapEx on equipment in 2005 and what do you estimate for 2006? And what is the absolute number of net adds do you think America Movil will have in 2006?
A - Daniel Hajj Aboumrad: Well, the CapEx in 2005 is around $3.5 billion. It's what we have in 2005, and I think we're going to have around $3 billion for 2006. Still, we have our net additions for this year, 2006, between 20 to 22 million subscribers. That is our guidance that we said in November. We still, we are still maintaining that and 22 million subscribers are a lot of subscribers. So maybe in May or April we can do a revision and see if we can do another guidance for the end of year.
Q - Inge Heydorn: Okay. Thank you very much.
A - Daniel Hajj Aboumrad: But still we have 20 to 22 million.
Q - Inge Heydorn: And the CapEx was $3.5 billion for '05 and around $3 billion for '06?
A - Daniel Hajj Aboumrad: Yes. Yes.
Q - Inge Heydorn: Okay. Thank you very much.
Operator: Thank you. And we have a question from the line of Patrick Grenham with Citigroup. Please go ahead.
Q - Patrick Grenham: Good morning. Could you just talk, first of all, again about the U.S. business? The guidance you're saying about 1.4 million additions again in 2006, how will price, how is pricing going on the handsets, number one, and how do you see your position on the competitive basis against the other prepaid providers in the U.S.? I also have another followup question on calling party pays on those interconnection rates. Do you think there's a danger we see interconnection rates fall in Mexico or Brazil? We know they're going to fall in Colombia and probably in Ecuador. How are you managing the possibility of reductions in calling party pays in the large markets and the actual reductions in the smaller ones?
A - Daniel Hajj Aboumrad: Well, first in the U.S., Patrick, remember that you have two technologies in the U.S., two strong technologies, CDMA and GSM. We are in GSM in Tracfone, so I think we are well positioned in this technology in U.S. There's a lot of MVNOs that are going in the company. I think that some of those companies, not all of them, are companies that today you know that an MVNO in the U.S. is very well valued. Those companies are companies that doesn't have a lot of subscribers, doesn't have the expertise that we have in prepay and we think that we are well positioned in the market against those MVNOs. So Tracfone has around six or seven years doing prepaid business in U.S. We are the leader. We are the number leader in the prepaid business in U.S. and we're happy how we're developing in Tracfone. 1.4 million subscribers in Tracfone, why we are doing this number? Well, because you have some competition. I don't think some of them are long-term competition. Some of them are maybe competitors that wants to do an IPO and that's all, some companies. But we are a company that we are a long-term competitor. We have positive cash flow, so we are in a position to grow the company. We remember when we had 1 or 2 million subscribers. Today we have more than 6 million subscribers and we are ready to go to 10 million subscribers in the future. So the other competition would be the carriers, but you know that in U.S. the carriers will have a little bit of problem because they have a lot of postpaid base and if they are too aggressive in the prepaid market, then maybe they are going to cannibalize their base. So I think the big companies have to be a little bit careful on how they do the prepaid, how do they do in the prepaid market. So it's what I'm, how I see them. I still think and I'm saying that for maybe two years, I saw that in U.S. We're going to see big growth on the prepaid market, so Tracfone has a very good opportunity there. So that's how I see Tracfone. In the calling party pays, you said in Mexico, well, in Mexico we have a reduction on 10% in 2005 and we're going to have, we already have another 10% reduction in 2006. The way we do, the way the calling party pays behaves in 2005 is more or less net. We reduced 10% the price, but we grow around 10% the traffic. So in Mexico it's more or less even what we have. Let's see how it's going to be have in 2006. In Colombia, in Colombia we have a big reduction on the calling party pays. We decided also, as a company, decided to have that reduction. It was too high and I think we're prepared to, I don't think we are going to increase the minutes as fast as we are reducing the prices. But the minutes are going to grow and let's see how much they are going to grow in the future. But I don't think they're going to grow the same as we have in the prices, no? And we are prepared to get that in, the reduction in money in Comcel, because we are doing all the things that, the traffic between cellulars is growing, also, a lot, so we are moving some revenues from the calling party pays to the mobile-to-mobile traffic. So that's more or less how it's behaving, also, in Colombia. In Ecuador we have that reduction a year ago, so it's doing okay. So I don't see huge problems on the reduction on the calling party pays.
Q - Patrick Grenham: Okay.
A - Carlos José García Moreno Elizondo: Only to add to what Daniel was saying in terms of Tracfone, Patrick, I think it's important to note that Tracfone is now a $1 billion company in terms of revenue.
A - Daniel Hajj Aboumrad: Revenue.
A - Carlos José García Moreno Elizondo: But it's a company that has been generating an EBITDA, Daniel was saying, of 8%, an operating profit of 6.5%, nearly. Okay? It's net cash, doesn't carry any debt. So it carries, it's a net cash company, so, which means that the operating profits are basically the same as the net income.
A - Daniel Hajj Aboumrad: And it's not….
A - Carlos José García Moreno Elizondo: The company has the carry-forward tax losses.
A - Daniel Hajj Aboumrad: And it's positive cash, now Carlos. We have around $200 million in cash in the company.
A - Carlos José García Moreno Elizondo: Exactly, Daniel.
A - Daniel Hajj Aboumrad: $200 million, so….
Q - Patrick Grenham: Okay.
A - Carlos José García Moreno Elizondo: So it's in great shape.
Q - Patrick Grenham: Okay.
A - Daniel Hajj Aboumrad: We have a good opportunity to grow there.
Q - Patrick Grenham: Right. And just from a look at the calling party pays rate and the conversation on the nationwide calling party pays, it seems to me it's an opportunity to open up the whole subject of calling party pays in Mexico. Is that the reason why you're not so enthusiastic about bringing in nationwide calling party pays? Because it seems to me that it should be something that you benefit a lot from?
A - Daniel Hajj Aboumrad: No, I think it depends a lot on what's going to be the share of the revenue for you. Here you have to involve in the long distance calling party pays, it's not only the fixed and the wireless, it's the fixed, the long distance and the wireless company and even the international long distance company. So I'm enthusiastic, but my enthusiasm depends on the way you negotiate the rates, okay, and what's the part for the mobile, what's going to be the share for the, for the mobile, the share for the fixed and the share for the long distance. So, depending on that, I'm going to be more enthusiastic than less enthusiastic. So that's what you need to sit down and review, so that all the three parts will be happy, no? And it's not only on one side or the other.
Q - Patrick Grenham: And is, are those negotiations happening today?
A - Daniel Hajj Aboumrad: No. We are not sitting. We are not negotiating with anybody today?
Q - Patrick Grenham: Okay. So it's not likely to happen for a long time, then?
A - Daniel Hajj Aboumrad: It's not likely to happen, for a short time, it's not likely to happen and, as I told you, if the decision came and said, well, the calling party pays is going to be implemented in February or in March, well, nobody, everybody has to be prepared, so they have to give, more or less, four or five months to be prepared to do that. So I don't think it's going to be in the short term, the calling party pays. But you never know with the authorities, Patrick.
Q - Patrick Grenham: Right, okay. Okay, excellent. Thank you.
A - Daniel Hajj Aboumrad: Thank you.
Operator: Thanks. And we have a question now from the line of James Breen with Thomas Weisel. Please go ahead.
Q - James Breen: Thanks much. I had a couple questions. One, with respect to CapEx and the $3 billion for this year, does that include any type of buildout you're going to do in some of the new properties that you purchased in '05? And then secondly, with respect to Peru, what's your view there in terms of where growth is going in that company? It seems like it's starting to ramp up a little bit, similar to what Colombia did in '05. Thank you.
A - Daniel Hajj Aboumrad: Yes, the CapEx for 2006, it's everything. It's Peru, but it's also Colombia. We're changing out, sorry, Chile. We're moving from CDMA in Chile to GSM and includes all the change-out from CDMA to GSM in Chile. So that's including everything. In Peru, it's, I think, one of the lowest penetration, the lowest countries in terms of penetration, so I think Peru is going, we're going, I think Peru is going to have a good growth in the next two years, no? This year and the next one I think there's no reason why Peru has to be in lower penetration than, by an example, Ecuador or Colombia or countries that are near them. So I think Peru is going to have a good growth in the future.
Q - James Breen: Great. Thank you very much.
Operator: Thanks and we do have a question now from the line of Henry Cobbe with Thames River. Please go ahead.
Q - Henry Cobbe: Hi there. Good morning. Henry Cobbe from Thames River Capital. Just a few questions, if possible, please. First of all, on the tax credits. Could you give us a breakdown of the full 8597 million pesos? 3.2 billion deferred taxes, could you just run through a breakdown of the other stuff and tax rate guidance for 2006, what you estimate the effective tax rate will be? Second question, just on Brazil, you put in the commentary that prepaid ARPUs grew 8.7% quarter-on-quarter. Looking at the blended number, it was down 4.2% quarter-on-quarter, which implies that postpaid ARPUs really, really collapsed. So can you just explain, is that to do with the receivables write-off? What's happen there? Also, the 65 billion write-off you did, how much was from the startup in Minas Gerais and how much was from the receivables and what percentage of your total Brazilian receivables does that represent? Also, if you could provide some more detail on the, what the equipment cost in Brazil was, just so we can see how your underlying margins are doing?
Q - Vera Rossi: Can……
A - Daniel Hajj Aboumrad: You know what, there should be, there are a lot of questions, so why don't we start to answer some of them and the rest if you want more detail, you can talk to Paulina about. All right, Carlos is going to explain a little bit about the taxes.
A - Carlos José García Moreno Elizondo: Well, I think, what you have, we haven't really given a breakout before of direct taxes and deferred taxes, but I think that the basic difference is this, but throughout the year you are setting offset on tax provision and those provisions for the direct taxes of the current year were for, to some extent reversed as a consequence of the transaction that I described. That's one component. The other component is deferred taxes. Deferred taxes, we have had a charge, noticeably, I think at the end of last year, in fourth quarter, which was just on transactions that involved the sale and then leaseback of certain equipment. We had detailed these transactions last year. So at this time, we had to generate a net charge of deferred taxes and normally as time goes by these charges, it's regularly being reversed. So the amount that was reversed of the taxes this year was $3.2 billion, okay? I mean, 3.2 billion pesos. And that is something that is mentioned in the body of the, of the quarterly report. So that's basically what I could say. The impact of deferred taxes is the reversal of deferred taxes, as we said, at the present time, is 3.2 billion pesos. Everything else would correspond to the direct taxes.
Q - Henry Cobbe: I see. And the guidance for '06?
A - Carlos José García Moreno Elizondo: And the what?
Q - Henry Cobbe: What's your estimate for '06?
A - Carlos José García Moreno Elizondo: Our estimate for '06 in terms of?
A - Daniel Hajj Aboumrad: Taxes.
Q - Henry Cobbe: Effective tax rate.
A - Carlos José García Moreno Elizondo: Effective tax rate? Well, I think as we are moving more towards net, taxable net income in most operations, we should be trending towards something that will be in the 20% or so effective tax rate.
Q - Henry Cobbe: 20? So I do that 20?
A - Carlos José García Moreno Elizondo: 20, yes.
Q - Henry Cobbe: Okay. And on Brazil?
A - Carlos José García Moreno Elizondo: It will be in the range of 20% to 25%, depending on the particular types of country that are producing more net income. I think that's more or less the, if everybody's on net income, I would say the average taxable rate would be around 25%.
Q - Henry Cobbe: That's on a group-wide basis, yes.
A - Carlos José García Moreno Elizondo: Yes.
A - Daniel Hajj Aboumrad: Then the other questions was Brazil?
Q - Henry Cobbe: On Brazil.
A - Daniel Hajj Aboumrad: Can you repeat it, because….
Q - Henry Cobbe: Sure. Sure. It was just on what happened to postpaid ARPUs, because prepaid ARPUs were up 8.7% q-on-q and blended ARPUs were down 4.2% q-on-q, so what happened to postpaid ARPUs? Is it to do with the receivables write-down?
A - Daniel Hajj Aboumrad: No. What happened with the postpaid ARPU is that it's, there's new postpaid subscribers that are not consuming as the high postpaid subscribers. So we're having new postpaid subscribers that are not having the same consumption than the old ones, okay? I think and we feel that in the future they are going to have the same, but still they are new subscribers. So more or less that's what is happening and we're being more competitive in those, in those plans. Remember and you could see that we're growing 23.9% in the postpaid subscribes this year, so it's also a good growth there. So the growth and, it's important. So that's also why.
Q - Henry Cobbe: Okay. And on the receivables, what percentage of your total receivables in Brazil did that represent and how many subscribers were affected, how many subscribers did this relate to?
A - Daniel Hajj Aboumrad: I don't have exactly the numbers, but I think that the receivables are, of this 65, as you said, 65 million reals, I think the receivables are mainly 70% and the Minas Gerais, it's around 30%. That's more or less what we have. I don't have that number exactly, but you can talk to Paulina and we can give you that number.
Q - Henry Cobbe: Okay.
A - Carlos José García Moreno Elizondo: And only one last thing on Brazil, the growth in the quarter, sequential growth in postpaid, was even higher for postpaid than for prepaid. The growth, quarter-over-quarter, of postpaid subscribers in Brazil was nearly 10%.
Q - Henry Cobbe: Okay and what the percentage of your accounts receivable at the end 3Q, what percentage did you write off?
A - Daniel Hajj Aboumrad: I don't have the number. Talk to Paulina. I don't have that number.
Q - Henry Cobbe: Okay. I'm sorry, just one other quick little one.
Q - Vera Rossi: Just one thing. For the interest of time, there are a lot of people on the line. Can you call Paulina to follow up?
Q - Henry Cobbe: Okay. Okay.
Q - Vera Rossi: Sorry about that.
Q - Henry Cobbe: Thank you.
A - Daniel Hajj Aboumrad: Thank you very much.
Operator: Thanks. And we have question, then, from the line of Rizwan Ali with Bear, Stearns. Please go ahead.
Q - Rizwan Ali: Yes, good morning. My question is in regards to the tax carry, tax-loss carry-forwards. As of the end of last year, how many tax loss carry-forwards do you have and do you have that one number? And second thing is about the CapEx. CapEx in the fourth quarter was quite a bit larger than what we expected and I think it was even higher than what the company has, had guided us for. And so is there a possibility that you kind of front-loaded some of the CapEx from 2006 into the fourth quarter? Because in cash terms, it appears that whatever you recorded as CapEx did not really go out. That wasn't all the, it was, the cash disbursement was much less than what you recorded as CapEx for the fourth quarter.
A - Daniel Hajj Aboumrad: To talk a little bit about the CapEx, Rizwan, we have a little bit higher CapEx. We spent a little bit more than what we guided, but we also have more subscribers than what we guided, so that's the reason why we have more. I think we guided to $3.2 or $3.3 billion on CapEx and we have $3.5, so less than 10%. It's 8% more CapEx and we have much more on the subscriber base. So that's really the reason why we have more CapEx that what we guided. And this year, if we are going to have more than, subscribers than what we have, then maybe we're going to need more CapEx. It's not the, it has, it should not be huge difference, because CapEx for traffic is less expensive than CapEx for coverage. So I don't think we're going to grow on coverage more than what we're growing today, but if we're going to grow more on subscribers, then we'll need more, we're going to have more traffic and it's not going to be a huge difference. Then the other question about the taxes.
A - Carlos José García Moreno Elizondo: About taxes, tax loss carry-forwards, remember, Rizwan, that we have in several operations tax losses. In some cases you can use them all in a given year. In some cases, there are restrictions in terms of how you can apply them, but we have tax losses in Brazil, in Colombia, in Argentina, in Peru, in Chile, that I can remember. We don't really have in Central America. We have, we may have a position in other countries, as well, but that's basically, that's basically what we have. I wouldn't have a specific number today for tax losses for all the group and it's probably not relevant, because it really depends on your making the money, the taxable income. U.S., we also have tax losses in the U.S.
A - Daniel Hajj Aboumrad: And Chile and Peru.
Q - Rizwan Ali: Yes, maybe not right now, but later on, if you can get that number, because that can, potentially, improve the valuation of the company. You take the present value of the tax benefits going forward.
A - Daniel Hajj Aboumrad: Yes, we can follow up on that, Rizwan.
Q - Rizwan Ali: Okay. Thank you very much.
A - Daniel Hajj Aboumrad: Thank you.
A - Carlos José García Moreno Elizondo: Thank you.
Operator: Thanks and we have a question now from the line of Jean-Charles Lemardeley with JP Morgan. Please go ahead.
Q - Jean-Charles Lemardeley: Yes, good morning. Just a few questions. First, going back to the issue of CPP in Mexico, is there any effort by some of your competitors, particularly Telefonica, to revisit the mobile-to-mobile interconnection regime in the country, maybe to try to adopt a system like the Brazilian system of at least partial billing keep or move towards asymmetric interconnection rates between mobile-to-mobile? Because it seems difficult for them to compete against your on-net pricing, given your market share. So is there any attempt by them to have that being discussed with the regulator at this point?
A - Daniel Hajj Aboumrad: I don't think that's a pressure. I don't think that helps a lot, Jean-Charles. We have full bill-and-keep or partial bill-and-keep. I think in terms of the bill-and-keep or the full bill-and-keep or partial bill-and-keep does not depend on the quantity of customers you have. It depends a lot on the quality of customers that you have. So I don't think, I don't have that number, but I don't think that Telefonica is paying me a lot of money because the interconnection is in our favor or we are paying them a lot of money or to Iusatel or to Unefon. I don't think that's something that we have a huge difference between the four wireless companies. So I don't think that's important.
Q - Jean-Charles Lemardeley: So it's not being discussed at all? It's not, there's no discussion on that?
A - Daniel Hajj Aboumrad: No, no, we haven't been discussing that at this stage, Jean-Charles.
Q - Jean-Charles Lemardeley: Okay. Now going back to the usage trends and the ARPU trends, how much seasonality do you think there is from third to fourth quarter and what, seasonality would probably be positive, I guess, from third to fourth quarter in South America. Is that the case? And is that the case in Mexico? And if that's not the case, by how much do you think it helped you in this quarter? And the question after that is what, if you look……
A - Daniel Hajj Aboumrad: Jean-Charles, I don't understand, really, that question. How much does the ARPU help me through…..
Q - Jean-Charles Lemardeley: The seasonality in usage, seasonality in ARPU. Because you're reporting increases in prepaid ARPU sequentially in most of the countries, but how much do you think that is helped by seasonality? And the question really, is, if you compare your prepaid ARPUs in this fourth quarter to the fourth quarter '04, what is the kind of comparison we're seeing in Mexico, in Brazil and the other major countries? Are you seeing some significant increases? Are you seeing flat prepaid ARPUs? What is the trend there?
A - Daniel Hajj Aboumrad: I mean, this is something that we have discussed in the past, Jean-Charles. I think that what we have said is, given that there is a lag between the moment that you take on a subscriber and the moment that the subscriber really starts generating, let's say, normal levels of traffic and given that this lag is, can be significant, can be several months, it is always the case that when you start growing more rapidly, that tends, initially, to reduce both MOUs and ARPUs because you are adding to the denominator and you still do not have all the new usage being reflected in the numerator. And what we have said is that as time goes by and, on the one hand, subscriber growth slows down in relative terms and on the other hand, the effects of, on usage of past subscriber growth are being felt, that that tends to provide support to ARPUs and that can lead to growing ARPUs, as has been the case in Mexico. We were mentioning here in the report that out of the last 15 quarters, Mexico's ARPUs have increased, prepaid ARPUs have increased in 11 of those 15. And had we not had the interconnection reduction in Mexico, we probably would have had 13 out of 15 rising, so I think that in all the other countries, this is what we should expect to see at some point, that as usage is being felt more and as subscriber growth slows down in relative terms that you should see more stable ARPUs and essentially a certain trend towards either flat or rising ARPUs over time.
Q - Jean-Charles Lemardeley: Okay. Okay. On the blended basis?
A - Daniel Hajj Aboumrad: No, I was talking about prepaid ARPUs. It will be a function of if you're growing more rapidly in prepaid and mostly in all the countries we're growing more in prepaid than in postpaid.
Q - Jean-Charles Lemardeley: Okay. Okay. And then the final question is you mentioned that Brazil now is moving towards, I mean, there's several providers selling SIM cards only, does that explain why in your way why it appears that the fourth quarter was less active or less, operators were less aggressive in terms of handset subsidies, including yourselves? And do you, what do you, do you have an estimate now for the ratio of SIM cards to actual users? I don't know that you don't consider that to be particularly problematic, but maybe it means that the penetration is significantly overstated in those markets if there's a lot more SIM cards in circulation than actual users.
A - Daniel Hajj Aboumrad: In Brazil, what, what you, I don't think, I think this deceleration of the economy helps that, the reduction on the fourth quarter sales. So I think it's more, it's more or less that. If the people, the other companies are selling SIM cards, I think we are also selling SIM cards, but we are being more careful selling SIM cards. I don't know if those customers are good customers or bad customers, I really don't. I'm not in that company. I'm just saying that the sale of SIM cards, it's maybe why they are growing faster. I'm not saying that those are good subscribers or bad subscribers, no? We, as the company, as Claro, are being more careful selling those SIM cards. We are selling those in not a big quantity, but being a little bit more careful on the consumption of those customers, no? So that's what I'm saying. Overall, in the year we gained market share, so we cannot measure only one quarter or the second or the fourth or the third, so I think you need to check all the year and for 2006 I hope we can grow, also, our market share all in the year. Maybe in one month we are not doing very well, but the next one we can recuperate. But it's a, it's a market situation and you need to react on that, no? So, also, all the competition was not so aggressive on the fourth quarter. So the reduction on the economy and the competition not so aggressive makes that, the fourth quarter will not so, be so strong in Brazil.
Q - Jean-Charles Lemardeley: Okay. Do you think that, the fact that some other operators are selling SIM cards only, does that make you a little bit more cautious subsidizing handsets?
A - Daniel Hajj Aboumrad: Yes. Yes. You need to be more careful on a lot of things. Not only on the handsets, also on your SIMs and you need to be more careful because maybe the handset that you are subsidizing, then they are going to use it in their SIM, with their SIM, no? So, of course, you need to be very careful on that.
Q - Jean-Charles Lemardeley: Thank you very much.
A - Daniel Hajj Aboumrad: Thank you.
Operator: Thanks. And we have a line, a question from the line of Mauricio Fernandes with Merrill Lynch. Please go ahead.
Q - Mauricio Fernandes: Good morning. Thanks for taking the question. So a couple questions on the margin. I don't think you've provided guidance yet on 2006 on this call for, on a consolidated basis. And specifically, on a country-by-country, you've done a remarkable job in Mexico and Colombia and I was wondering if you could also provide some guidance as to what you believe you can do in terms of margin in Mexico and particularly with the, with the strong margin in Colombia, as well? Could we expect for 2006 in terms of….
A - Daniel Hajj Aboumrad: I'm sorry, Mauricio. I think the guidance for margins this year would be around, improving around 2 points on margin. We have 30% and we want, we think that we could go to 32%, something like that, depending a lot, again, on the quantity of subscribers and depending, also, on the economies of the country. It depends a lot on that. So it's more our budget. We are not giving guidance of each of the countries, but overall I think we're going to have better margins than last year and it's more, more or less what we have and what we think we're going to have in 2006.
Q - Mauricio Fernandes: Okay, Daniel. Just one more question on the mobile termination or CPP. You mentioned that there was a big cut in Colombia. I just wanted to know how much and when was that implemented? And if you think that, if we should be monitoring any of the countries where America Movil is present where we should, we may see that in the near future?
A - Daniel Hajj Aboumrad: I think Colombia was the highest mobile terminator. We decided to cut that in November, I think the first days of November, to half is what we cut the mobile termination. And we have been working with that, November, December and this January and we feel very comfortable on that. It's a very competitive, and, Mauricio, today Latin America is the, it's with very competitive rates in the CPP and in the mobile-to-mobile and mobile-to-fixed. So we are very comfortable that the rates all around Latin America have been very competitive in 2005 and I think are going to be more competitive in 2006.
Q - Mauricio Fernandes: Would you anticipate any other, potential reduction in any other countries? Not that you would do that, but that you would be forced by the regulator? Have you been contacted by any regulator about the potential to cut CPP in any other countries where you're present?
A - Daniel Hajj Aboumrad: No. Not that I remember, but we're always being contacted by the regulators, because they want better prices. But I think, as I told you, you are seeing much better prices in Mexico, Colombia, Brazil, in all over, all the countries in Latin America you are seeing better prices. So I think regulators should be happy the way all the countries have been doing better.
Q - Mauricio Fernandes: Okay, thank you very much, Daniel.
A - Daniel Hajj Aboumrad: Thank you.
Q - Vera Rossi: Okay, Kent, we have time for one more question, please.
Operator: All right. Thank you. And that question comes from the line of Tuong Nguyen with Gartner Group. Please go ahead.
Q - Tuong Nguyen: Hi, thanks. For the net adds for 2006, of the 20 to 22 million, have you given guidance on how much of that is expected to be organic?
A - Daniel Hajj Aboumrad: All the, all the 22 million or 20 to 22 million we expect to be organic. And also, if we do consolidation or we open a new country or a new license, then I think we can add to that, to the 20 or 22 million, we can add that in the numbers.
Q - Tuong Nguyen: Good. Thank you.
Daniel Hajj Aboumrad, Chief Executive Officer: Thank you very much and thank you everybody for being in the conference.
Vera Rossi, Morgan Stanley: Okay, thank you, Daniel and Carlos.
Daniel Hajj Aboumrad, Chief Executive Officer: And thank you, Vera.
Vera Rossi, Morgan Stanley: And congratulations on the strong results.
Daniel Hajj Aboumrad, Chief Executive Officer: Thank you.
Carlos José García Moreno Elizondo, Chief Financial Officer: Thank you, Vera.
Daniel Hajj Aboumrad, Chief Executive Officer: Bye-bye.
Operator: Great, thank you. And, ladies and gentlemen, that does conclude our conference for today. Thanks for your participation and for using AT&T's Executive Teleconference. You may now disconnect.